Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the VeriSign Third Quarter 2013 Earnings Conference Call. As a reminder, today's call is being recorded. I would now like to turn the call over to Mr. David Atchley, Senior Director of Investor Relations and Corporate Director. Please go ahead, sir.
David Atchley: Thank you, Catherine, and good afternoon, everyone. Welcome to VeriSign's Third Quarter 2013 Earnings Call. I'm David Atchley, and here with me are Jim Bidzos, Executive Chairman, President and CEO; George Kilguss, Senior Vice President and CFO; and Pat Kane, Senior Vice President, Naming and Directory Services. This call and our presentation are being webcast from the Investor Relations section of our website, www.verisigninc.com. There, you will also find our third quarter 2013 earnings release. At the end of this call, the presentation will be available on that site, and within a few hours, the replay of the call will be posted. Financial results in our press release are unaudited, and our remarks include forward-looking statements that are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically, the most recent form -- report on Forms 10-K and 10-Q and any applicable amendments, which identify risk factors that could cause actual results to differ materially from those contained in the forward-looking statements. VeriSign retains its long-standing policy to not comment on financial performance or guidance during the quarter, unless it is done through a public disclosure. The financial results in today's call and the matters we will be discussing today include GAAP and non-GAAP measures used by VeriSign. GAAP to non-GAAP reconciliation information is appended to our press release and slide presentation, as applicable, each of which can be found on the Investor Relations section of our website. In a moment, Jim and George will provide some prepared remarks, and afterward, we will open up the call for your questions. Unauthorized recording of this call is not permitted. With that, I would like to turn the call over to Jim.
D. James Bidzos: Thank you, David, and good afternoon, everyone. Our third quarter results demonstrate that we're on track with our full year 2013 plans. We reported revenue of $244 million, which was 9% higher year-over-year and delivered strong financial performance, including $134 million in free cash flow. We processed 8.3 million new registrations during the third quarter and added 1.55 million net new names, bringing our name base to a total of $125.9 million active .com and .net domain names. Our balance sheet remains strong, with $1.8 billion in cash, cash equivalents and marketable securities at the end of the quarter. We continue to see benefits from our focus and discipline in the execution of our strategic framework to protect, grow and manage the business. As part of managing our business, during the third quarter, we continued our share repurchase program by repurchasing 6.8 million shares for $331 million. At the end of third quarter, $697 million remained available and authorized under the current share repurchase program. We continually evaluate the overall cash and investing needs of the business and consider the best uses for our cash, including potential share repurchases. In today's press release, we announced an update related to our work in reviewing our current tax structure. As you'll note from the press release, we expect to file for a worthless stock deduction, that if claimed, we estimate will yield an income tax benefit of approximately $300 million to $400 million, which will be recognized in the fourth quarter. Our tax work remains ongoing, and we expect to provide further updates during our fourth quarter earnings call. George will discuss this update in more details in a few moments. For the last few quarters, I discussed our continuing focus on innovation and intellectual property. Our R&D team continues to actively research and develop new concepts and to evaluate new ideas to improve our current technologies and services and to invent new ones. These efforts support our strategic framework and enhance our ability to create innovative technologies and services. As part of our IP strategy we have made, and continue to make, substantial investments in IP. Over the last several years, these investments have included a significant increase in the number of patent applications filed by VeriSign in the United States and Europe. This increase in patent applications supports our strategy to continuously serve our customers and partners in innovative ways through our products and services and to make sure that others only use our IP under appropriate licenses from VeriSign. Over the years, VeriSign's commitment to performance and reliability in our registry operations have led us to innovate energetically and to develop capabilities that are not available from off-the-shelf products. As of the end of the third quarter, VeriSign has a patent portfolio with a combined total of 231 patents and patent applications in the U.S., plus 304 granted and pending patent applications in other countries. Our patent portfolio includes 127 granted or pending applications in the U.S. that we believe protect inventions that enable our core registry operations. While we've not decided the best ways to fully utilize our IP assets, and it's too early to provide any guidance on how we can use them in the future, supporting our business goals and strategic framework will always drive those decisions. More information about VeriSign's leadership through innovation is available in our new white paper titled VeriSign Innovation, Exceeding the Standard for Registry Operations, located at verisigninc.com/innovation. An additional resource to better understand how our U.S. patents pertain to VeriSign's product and service offerings is available at verisignpatents.com. We also have the goal, through our innovation efforts, to offer additional product and services. This work is ongoing, and we're pleased with the progress. This summer, the company hired a Senior Product Executive to lead the development of these new products and services. We had hoped to announce a new product before the end of the year, but this is taking a little longer. However, I am pleased to say that we're in the process of contracting with a customer to pilot this product. Currently, we don't have more to say about this pilot program we're offering, but we will keep you updated when appropriate on our efforts. ICANN continues to make progress on its new gTLD program. This week, the first 4 IDNs, or Internationalized Domain Names, as part of this program, were delegated into the root zone. At this point, we're not sure of the timing for our own new gTLD applications or for the back-end Registry Services that we'll be providing, but we will provide updates as appropriate regarding the status of our applications. I'll comment now on third quarter operating highlights. At the end of September, the total base of active registered domain names in .com and .net was 125.9 million, consisting of 110.7 million for .com and 15.2 million names for .net. This represents an increase of 5% year-over-year. In the third quarter, we added 1.55 million net names to the domain name base after processing 8.3 million new gross registrations. In the second quarter of 2013, the renewal rate was 72.7% compared with 72.9% for the second quarter of 2012. While renewal rates are not fully measurable until 45 days after the end of the quarter, we believe that the renewal rate for the third quarter of 2013 will be approximately 72.5%, or flat as compared to the third quarter of 2012. As we have discussed over the last few quarters, the overall renewal rates softened primarily due to the lower renewal rates for first time renewing names. Given our forecast for zone growth, including the factors affecting first time renewal rates and seasonal trends, we expect .com and .net names added to the zone in the fourth quarter to be between 1.1 million and 1.5 million names. As noted in prior calls, updates to the zone are posted on our website at least once per day, allowing you to track how the zone is growing throughout the coming quarters. Now I'd like to turn the call over to George.
George E. Kilguss: Thanks, Jim, and good afternoon, everyone. As we've stated on prior calls, we have been examining our tax structure. Today, I would like to discuss the results of our tax work to date. During the fourth quarter of 2013, we expect to liquidate, for tax purposes, one of our domestic subsidiaries, which we expect will allow us to claim a worthless stock deduction on our 2013 federal income tax return. If claimed, based on our preliminary estimates, we expect to record an income tax benefit during the fourth quarter of 2013 ranging from approximately $300 million to $400 million related to the worthless stock deduction, net of valuation allowances and uncertain tax positions recorded as required under U.S. GAAP. The worthless stock deduction may be subject to audit and adjustment by the IRS, which could result in reversal of all, part or none of the income tax benefit, or could result in a benefit higher than the net amount we initially record. We cannot guarantee the liquidation of this subsidiary will occur as described, or at all, or what the ultimate outcome, use or amount of the benefit we receive will be, if any. The financial statement carrying value of this subsidiary is not material. While we expect our domestic operations to generate sufficient taxable income to fully use the expected tax benefits of the ordinary loss on the worthless stock deduction, we are analyzing and evaluating various scenarios for realizing the benefit. Although our current intent remains to indefinitely reinvest outside of the U.S. those funds held by foreign subsidiaries that have not been previously taxed in the U.S., and accordingly, we have not provided deferred U.S. taxes for such funds, we anticipate reevaluating our overall business structure and financing of foreign operations as part of this analysis. If the conclusion of this analysis results in a change to our current strategy related to foreign operations, we may be required to accrue an additional U.S. tax obligation, although we cannot predict what such amount, if any, may be. Based upon the audited statutory financial statements of our foreign subsidiaries, as of December 31, 2012, on a combined basis, our foreign subsidiaries have up to approximately $600 million of distributable capital under applicable foreign statutes. We do not know what the ultimate outcome, if any, will be resulting from this analysis and evaluation. I would now like to discuss our third quarter financial results. During the quarter, we generated revenue of $244 million, up 9% year-over-year and delivered GAAP operating income of $133 million, up 14.3% from $116 million in the third quarter of 2012. The GAAP operating margin in the quarter came to 54.5% compared to 51.9% in the same quarter a year ago. GAAP net income totaled $81 million compared to $78 million a year earlier, which produced diluted GAAP earnings per share of $0.53 in the third quarter of this year compared to $0.47 for the third quarter last year. As of September 30, 2013, the company maintained total assets of $2.3 billion. Liabilities totaled $2.8 billion at the quarter and. I'll now review some of our key third quarter operating metrics, which are revenue, deferred revenue, non-GAAP operating margin, non-GAAP EPS, operating cash flow and free cash flow. I will then discuss our 2013 full year guidance. As mentioned, revenue totaled $244 million for the third quarter. 61% of our revenue was derived from customers in the U.S., and 39% was from foreign customers. Deferred revenue at quarter end totaled $858 million, a $45 million increase from year-end 2012. Third quarter non-GAAP operating expense, which excludes $10.6 million of stock-based compensation, totaled $100 million compared with $98 million in the second quarter of 2013 and $98 million in the same quarter a year ago. Non-GAAP operating margin for the third quarter expanded to 58.8% compared to 56.4% in the same quarter of 2012. Non-GAAP net income for the third quarter was $90 million, resulting in non-GAAP diluted earnings per share of $0.59 compared to $0.50 in the third quarter of 2012 and $0.58 last quarter. With respect to taxes, we continue to use a non-GAAP tax rate of 28% for our non-GAAP net income and non-GAAP EPS calculations. In 2013, we now expect to pay cash taxes of approximately $25 million to $30 million, assuming we claim the benefit of the worthless stock deduction in 2013. We had a weighted average diluted share count of 153 million shares in the third quarter compared to 159 million shares in the second quarter. Dilution related to the convertible debentures was 10.5 million shares based on the average share pricing during the third quarter compared with 9.2 million for the same quarter in 2012. The share count was reduced by the full effect of second quarter repurchase activity and the weighted effect of the 6.8 million shares repurchased during the third quarter. Operating cash flow was $134 million for the third quarter compared to $147 million in the second quarter of 2013 and $122 million for the third quarter last year. Third quarter free cash flow was $134 million. Of the $1.8 billion in cash, cash equivalents and marketable securities at the end of the quarter, $389 million was domestic, with the remainder held internationally. With respect to 2013, our full year guidance includes updates to our revenue and capital expenditure projections as follows. Revenue for 2013 is now expected to be in the range of $960 million to $965 million, representing an annual growth rate of 10%. This is an increase from the $952 million to $962 million, or a growth rate of 9% to 10% given on our last earnings call. Non-GAAP gross margin is still expected to be at least 80%. Full year 2013 non-GAAP operating margin is still expected to be between 58% and 59%, as we expect an acceleration of sales and marketing spend during the fourth quarter. Our non-GAAP interest expense and non-GAAP non-operating income net is still expected to be an expense of between $60 million and $62 million for 2013. Capital expenditures for the year are now expected to be between $65 million and $75 million, changed from the $60 million to $80 million range given on our last call. Our guidance is based on expectations about the outlook for our business, in addition to our financial projections for interest income and expense. In summary, the company continues to demonstrate sound performance in the third quarter. We have grown non-GAAP operating income and net income as compared with Q3 2012. We have maintained a strong balance sheet and expect strong operating cash flow generation to continue as a result of our financial model. Finally, I wanted to note to you an update in our reporting schedule going forward. After reviewing the reporting schedule of our peer group, and with the desire to decrease the time between our fourth quarter earnings release and the issuance of our 10-K, we expect our fourth quarter and full year 2013 earnings release and earnings call to be held 2 weeks later than in the past. This change affects only our fourth quarter and full year earnings release. Other quarterly dates would remain similar to prior practice. We expect to hold our fourth quarter 2013 and full year 2013 earnings release and earnings call during the first week of February 2014. Now, I will return the call back to Jim for his closing remarks.
D. James Bidzos: Thank you, George. During the third quarter, we furthered our work to protect, grow and manage the business, while delivering value. We have protected our business by providing over 15 years of 100% availability of the .com and .net registries. This track record is due to the strength and experience of our people, our commitment to excellence, our specialized and purpose-built network, and the extensive redundancy built into our infrastructure. Our focus on innovation supports our business growth initiatives as we continuously work to develop new products and services. Finally, we've been managing the business effectively through expansion of our operating margins and delivering value to shareholders. In addition to the $300 million to $400 million expected income tax benefit, we announced today, through the third quarter of this year, we have repurchased 16.9 million shares for $797 million, representing 11% of the 153.4 million shares that were outstanding at the end of 2012. We remain committed to offering the security and stability that are at the core of our business and provide value to our customers, employees and shareholders. We will now take your questions. Operator, we're ready for the first question.
Operator: [Operator Instructions] And we'll take our first question from Gregg Moskowitz with Cowen & Company.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: I did want to ask, just given the strength that we saw in net adds this quarter, I was a bit surprised to see deferred revenue be essentially flat on a sequential basis. Just wondering if there were any onetime items or adjustments that might have gone into deferred?
George E. Kilguss: Nothing material, Gregg. This is George Kilguss. We had a minor true up in the quarter, but it wasn't material related to our .jobs operation. But no, we had a good quarter with regard to gross additions. They came in a little stronger than we expected, but we were pleased with those results.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: Okay, great. And George, you mentioned that you do expect to accelerate your sales and marketing spend in Q4. Can you put a finer point on the nature and amount of the increased investment there?
George E. Kilguss: Well, Gregg, we don't guide to fourth quarter sales and marketing. But if you recall, back on our comments in -- earlier in the year, we did have an amount of roughly about $5 million that we had delayed into later parts of the year. We have a number of marketing activities that are going on right now, and we have registrars subscribing up for some of those programs, so we absolutely are expecting that spend to increase. But some of those -- that spend is dependent on registrars and other folks subscribing up to programs. But we absolutely have a significant amount of marketing going on in the fourth quarter.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: And George, is any of that in relation to the new gTLDs or just completely independent from that?
George E. Kilguss: I would say most of the programs that are running today are on, primarily .com and .net activities.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: Right, okay. And then just one last one for me, as a clarification regarding the worthless stock. With the income tax benefit, if it does arise in Q4, would that be treated as GAAP only? Or do you envision treating that in a non-GAAP format as well?
George E. Kilguss: No, it would just be from a GAAP perspective.
Operator: [Operator Instructions] And Sterling Auty with JPMorgan has our next question.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: The $600 million in capital available to be distributed internationally is a far cry from the actual international cash balance that's offshore. Can you talk to us about what causes the limitation? What you might be able to do with the other international cash beyond just this program?
George E. Kilguss: Sure, Sterling. So let me first say that as it relates to the $600 million discussed in our prepared remarks, this was the combined amount of distributable reserves in our foreign subsidiaries as of December 31, 2012, which is the last statutory audits that we've had filed. My intent in the disclosure was to simply provide the shareholders some more insight into our foreign capital structure, as they have had questions around this area in the past. As you know, we get questions around foreign cash balances all the time. And I was just letting folks know that we are bound by certain foreign statutes. The distributor reserves, just for clarification, are the amount of funds as of 12/31, 2012, that the foreign entities could have distributed through dividends to the U.S. patent at that time. Again, while we've not changed from our current position of these funds being indefinitely reinvested overseas, we are conducting additional reviews in the area, and we'll go through an evaluation process on that. We'll provide you an update, and that now still is ongoing in the fourth quarter. To be a little more specific, the amounts over the distributable reserves overseas, I think we've mentioned this before, some of our cash overseas came from divestitures. And that is where the balance of those distributables -- those amounts that cash over has come from, from the divestitures, other than from a generating income over there. And we're looking at that, and I'll have more to hopefully say to you on our fourth quarter call.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: So the last part that you just said, there's the chance or there -- you're looking into ways that perhaps the amounts above the $600 million could also be utilized beyond just internationally?
George E. Kilguss: Again, we're looking at evaluating and reevaluating our international cash. We're looking at that. That work is ongoing. I don't have any determinations here today to talk about -- but we're clearly looking at that.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Okay. And then Jim, I wanted to talk a little bit about the new products. It's been some time. You mentioned that you're hopeful to get a product out. It doesn't look like it's going to come this year, but you had a new head put in place in terms of heading new products in. What I'm curious about is how you're doing the business planning around the new solution that you're possibly taking to pilot in terms of the types of returns that you're expecting to get out of the investment, or how much investment you're going to put around it? So what's the strategy in terms of how you're thinking about putting new products into the marketplace and how much investment will go to support it?
D. James Bidzos: Well we don't -- we obviously can't guide to the expenses directly attributable to any new product or anything specific about the product's expenses. But going back to what we set out as goals for some of the innovation that we funded, going back over a year ago, we look for products and that would leverage the existing network that could be covered by intellectual property for us and that yielded margins similar to the core business. So those are the goals for the new products. And when we say that we're pleased with the progress that we're making with some of the new products coming out of what we call the hive, our innovation facility here, they're meeting those requirements. So we also mentioned back when we talked about innovation, that what we're doing is exploiting intellectual capital that the company had, that we have a lot of good ideas on how to utilize our network in more efficient ways to offer new products and services, things that would leverage the investment that we've already made in this high-availability, high-performance, purpose-built network. So I can tell you that it meets all of those requirements. I think it's early to say more than that, but -- and you're right, we're now engaged in contracting for a pilot for this project. So we are making progress, but I think beyond that, it's too early to say more.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Last question, if I may. The changes to the algorithms and search engines, there had been some talk that maybe there are some additional ones that occurred over the last month or so. Is that the case? And it seemed like the name additions were still pretty good. Are we getting to the point of diminishing returns where maybe some of those changes are having less and less impact on the actual growth in the zone?
George E. Kilguss: Go ahead, Pat. Why don't you...
Patrick S. Kane: So this is Pat. So I think what you're referring to is the Hummingbird release at Google. And, basically, they pushed that out on October 3. And the foundation for this release appears to be more about natural conversations. So they're really looking at the mobile space right now with that, and we've not seen a lot of impact on the domain names because of that. But it's a change, and things I've read about -- that is from Google. This is just the first major really restructuring change since 2001 on the algorithm. So they're going to keep tweaking on it. It's really one of these things that's geared towards mobility, I believe.
Operator: And we'll go on to Steve Ashley with Robert W. Baird.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: George, I was just going back into the tax planning and the worthless stock, involved in it is a subsidiary. I'm just wondering if there was any color you could give us around this subsidiary, and where the value of this asset had been or where it's coming from?
George E. Kilguss: Yes, sure. I mean, all I can really tell you is that it's a subsidiary that has a large tax basis, and that was prior -- it was part of a prior acquisition. But the worthless stock deduction, really is a situation where we have a situation where a stock can become worthless, and you take a claim for that. And so, that happens on the occurrence of certain events, and the event that we're talking about is the expectation of liquidating the subsidiary.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: Great. And then if I could just maybe turn to the new gTLDs. You mentioned that 4 have gone all the way through the funnel and have been delegated to the root and those were 4 IDNs, and it didn't sound like those were any of the ones that you currently own. But as we just look, going forward, I'm just wondering if you have any comments about what the general timing of icon, moving names through the process in getting the 220 potential customers you have through that process and maybe the other TLDs that you own directly, as we look into next year, if you have any expectation or color you can provide us around that.
D. James Bidzos: Yes, I think it's early for us to predict what's going to happen to our own applications or the applications of our other customers. There are -- the 4 IDMs that were delegated this week, the first of those was actually contracted back in the ICANN meeting in Durban, which was in mid-July. So they're very early. I'm not sure exactly what the contracting status of all of the applications are, but I believe it's around or less than 100 that are in contracting. So we have less than 10% that have reached the contracting phase. And until that's done, they can't get onto the delegation phase. And there's still some work in the -- they're pursuing something called the alternate path to delegation that ICANN provided just very, very recently. And they have to do some blocking in second level domains. The non-alternate path is a more comprehensive, security and stability planning qualitative analysis, so there's -- and sorry, ICANN is still actually developing that process. They're conducting more study to provide more data to inform that process. So I think it's early at this point to speculate exactly what the pace and timing for these other ones will be. Pat, do you want to add anything to that?
Patrick S. Kane: No, I think it's exactly right. Just it's, basically, if you move forward on either path, there's a process you can accept the standard agreement if you negotiate and you want other terms inside that agreement, that'll certainly take longer. And that's going to be up to the individual applicant at that point in time.
Operator: [Operator Instructions] And we'll now go to Phil Winslow with Credit Suisse.
Harris Heyer: This is Harry Heyer for Phil. I know you talked a little bit about building out your IP portfolio. And I was wondering if you might be able to give a little bit of detail on your IP monetization strategy?
D. James Bidzos: We have not yet finalized that strategy, as I mentioned, it's early for us to detail that. I think what we announced today is the availability of 2 resources on our website. The first one is the white paper, and I would encourage you to read it. It's easier to read than it is for me to describe. It's essentially -- I'll try though, anyway. It's a survey of the innovation that we've done that we've brought to our infrastructure that we think will benefit our customers. Whether it's all of the global Internet users, who benefit from our resolution services or from our back-end registry services customer. So again, the white paper is available at www.verisign.com/innovation. And so that gives you a lot of context in terms of how the patents are grouped and what particular areas you'll find that we described our innovation efforts and then some of the IP that those efforts have yielded by category. So I think you'll be able to get a broad idea, a big picture idea of where we've been innovating and some rough idea of the categories and number of patents that we have in that area. And I also mention that we do have another resource, verisignpatents.com. And there, what you'll find is a specific list of patents and how they apply to the various products and services that we offer. So if you're interested in just absolute numbers of patents that apply to various services offered by VeriSign, you'll find what's essentially sort of a patent marking website there. So beyond that, we've not gone into any detail on how this portfolio of intellectual property will be used, other than to say we will certainly explore ways to further our business interests with it.
Operator: And our final question will come from Walter Pritchard with Citi.
Kenneth Wong - Citigroup Inc, Research Division: Just kind of tagging on that IP question there. Sorry, this is Ken Wong for Walter. So tagging on that IP question, I mean is it -- mean, it seems like it's somewhat -- at this stage, it might be somewhat limited to potentially pursuing licensing from other registries, which makes sense with a bunch of gTLDs coming along. I mean, is it more than that? Should we be looking at you guys potentially being able to license this to other Internet service providers? Or is it more limited to just registry/registrar type functionality?
D. James Bidzos: It's more than that. I mean, we operate a high-reliability infrastructure that involves high-performance and redundancy. And so these patents cover the entire broad swath of the technology category that applies to everything we do, which is certainly at its core, registry operation. Some of these functions interact with registrar functions and intersect with them. But again, I'd encourage you -- I think you'll find the White Paper very informative in this regard.
Kenneth Wong - Citigroup Inc, Research Division: Got you. Yes, will definitely check it out. As then second, I guess we haven't heard you guys talk much about the NIA business recently. Any color on how that business is growing? And should we still kind of view that as an area of kind of serious investment from you guys?
D. James Bidzos: I'm sorry, I didn't hear the very last part.
Kenneth Wong - Citigroup Inc, Research Division: I guess, should we -- just, I mean, should we still view that as an area, where you guys are putting good resources behind in terms of investing in that particular business?
D. James Bidzos: We have made substantial investments over the years in NIA. And I mentioned in recent calls, 3 quarters ago -- 2 quarters ago, that what we're doing was streamlining NIA and structuring it better to scale going forward, that we were aligning expenses with revenue in the business. And we're making progress in all of those areas. It's still at a point where we're not calling it out separately or talking about it separately, but in the 3 categories, iDefense, which is threat intelligence, Managed DNS and also DDoS, we do see opportunities in all those areas, and we continue to actively grow that business. I think, at some point, we'll get to a point where we'll talk about separately, but we're not there now.
Operator: And we have no additional questions. I would like to turn the conference back over to Mr. David Atchley for your final or closing remarks.
David Atchley: Thank you, Catherine. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation and continued support. This concludes our call. Thank you, and good evening.
Operator: Thank you. Again ladies and gentlemen, that does conclude today's conference. Thank you, again, for your participation.